Operator: Good morning, ladies and gentlemen. Welcome to the Dream Industrial REIT Third Quarter Conference Call for Wednesday, November 3, 2021. During this call, management of Dream Industrial REIT may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Industrial REIT's control that could cause actual results to differ materially from those that are disclosed or implied by such forward-looking information.  Additional information about these assumptions and risks and uncertainties is contained in Dream Industrial REIT's filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Industrial REIT's website at www.dreamindustrialreit.ca.   Your host for today will be Mr. Brian Pauls, CEO of Dream Industrial REIT. Mr. Pauls, please go ahead.
Brian Pauls: Good morning, everyone. Thank you for joining us today for Dream Industrial REIT's 2021 Third Quarter Conference Call. Speaking with me today is, Lenis Quan, our Chief Financial Officer; and Alex Sannikov, our Chief Operating Officer. During Q3, we continued to see the significant positive impact of our strategic initiatives on our operating and financial results. We reported a 25% increase in FFO per unit led by strong CP NOI growth, lower cost of debt and a robust pace of capital deployment. Our pace of CP NOI growth continued to accelerate and was 7.5% in Q3, the highest pace of CP NOI growth since the IPO of the REIT led by Ontario at 15%.  Our pace of capital deployment remained robust with over $2.1 billion of acquisitions closed or waived year-to-date and approximately $400 million of acquisitions that are in exclusive negotiations. We have advanced our development pipeline with approximately 700,000 square feet of projects currently underway in Canada and the U.S. with an additional 241,000 square foot expansion in Germany expected to commence construction in the next 90 days.  We continue to focus on maintaining a strong and flexible balance sheet. During the quarter, we repaid $264 million of secured mortgages bearing interest at a rate of 3.5%, lowering our company average cost of debt to 86 basis points today.  Since the beginning of 2020, when we announced our first European acquisitions, we have grown and upgraded our portfolio quality significantly including acquisitions that are expected to close this year, we would have completed over $3 billion of acquisitions across North America and Europe adding over 21 million square feet of high quality assets to our portfolio and doubling our footprint.  These acquisitions have allowed us to expand into new markets in Europe, while adding significant scale in our existing core markets such as the GTA and Montreal. We are on track to end 2021 with close to $6 billion of assets in some of the most sought after industrial markets globally. Our expansion into Europe has provided us access to a deep pool of high quality investment opportunities at attractive economics to the REIT.  We expect industrial fundamentals in Europe to strengthen further led by rising e-commerce penetration, reactions to global supply chain problems and high barriers to entry to new supply. We have been able to add €1.3 billion or approximately $2 billion of high quality distribution in urban logistics products in some of the most densely populated regions on the continent over the past two years and we expect to grow further in these markets.  We recently waived all conditions on an off-market 600,000 square foot industrial and high-tech complex in The Hague for €100 million representing a going in yield of 4.5% with additional growth expected from raising in place rents, which are currently below market and fully indexed to CPI. The Hague is the third largest city in The Netherlands a key component to the Randstad urban cluster. Industrial land in The Hague is scarce with one of the lowest availability rates in the country; the complex is well connected with extensive public transport connections including a Trans-Asian with direct service to the city center. It is a 100% occupied by tenants primarily active in the technology and life sciences sector.  We’ve planned to expand the footprint by nearly 115,000 square feet, two pre-leased expansions totaling 65,000 square feet are currently underway and included in the purchase price. An additional 39,000 square foot expansion is targeted for development in the next 24 months.  In Germany, we have waived all conditions on a 250,000 square foot urban logistics facility located near Dortmund, the largest city in the Ruhr region of Germany, the most populous urban area of Germany with over 5 million people and density of approximately 2,800 people per square kilometer. The building is fully let to a globally renowned toy manufacturer with their European operations headquartered in an adjacent building.  We are buying the asset for just over 20 million euros representing a going in cap rates of 5%. Increasing replacement cost and rising institutional demand continues to push values across our strategic European markets. In Canada, we continue to focus on our core markets of the GTA, GMA, and other strong markets in the Greater Golden Horseshoe region of Ontario.  Replacement cost and rents continue to rise rapidly in these markets. Demand remains at an all time high and supply is limited and slow to develop. We have acquired over $550 million of assets in these markets over the past two years below replacement cost and with in place rents about 20% below market. We expect strong cash flow and NAV growth as we mark expiring leases to market.  Recently, we closed on a 78,000 square foot distribution facility near the Greater Toronto area for $18 million. Built in the early 2,000s, this asset has a clear ceiling height of 28 feet and is located just north of Highway 401 in AJAX, Amazon’s new 1 million square foot distribution center. We agreed to acquire the asset fully vacant and we are able to lease the entire building prior to closing for a ten year term with 3.5% annual contractual rental rate growth and lower than budgeted leasing costs.  Assuming a cap rate of 4% on the fully leased building, we estimate that we were able to increase value by over 15% before even completing the purchase of the asset. With a large portfolio and strong balance sheet, we are now able to meaningfully execute on our development pipeline. We have three projects currently underway that will add an incremental 700,000 square feet of GLA to the portfolio over the next 12 to 18 months.  The first phase of our 220,000 square foot expansion at our Marie Curie property in the GMA is largely complete with completion expected in early 2022. Market rents have continued to increase and we are marketing this space at almost 20% higher asking rents than what we underwrote in our portfolio earlier this year.  We are also actively looking for opportunities to acquire attractively located land sites where we can build high quality logistics products that will generate higher returns and buying comparable stabilized product. This year, we acquired 38 acres of land in the GTA across two sites for $48 million at an attractive pricing of $1.3 million per acre.  The sites can support the development of approximately 700,000 square feet of high quality logistics buildings within the next 2.5 years. We are targeting unlevered yield on cost of approximately 6% on these projects, which represent a spread of 250 basis points compared to cap rates for comparable stabilized properties.  In early 2022, we expect to begin construction on three additional development projects across Europe and Canada. In Germany, we are advancing the 241,000 square foot expansion of our existing property in Dresden. The 30.4 acre site is currently improved with a 274,000 square foot warehouse with site coverage at just over 20%.  We intend to nearly double the density by adding 241,000 square feet of brand new state-of-the-art logistics space. We expect our yield on cost on the expansion to exceed 6.5%. In the GTA, we continue to execute on our strategy to add towards significant concentration at the largest population centers and major highway interchanges.  We have a cluster of three buildings totaling 212,000 square feet situated on ten acres of land located in close proximity to highways 401 and 410 near Dixie Road in Mississauga. We anticipate commence the redevelopment of this cluster by mid-2022 and build the 209,000 square foot building with completion expected by the end of 2023.  We are currently forecasting a yield on cost more than a 150 basis points higher than cap rates on comparable stabilized product. In the Spring of 2022, we plan to commence construction at a recently acquired 8 acre site located on Abbotside Drive in the GTA directly adjacent to Highway 410. We are in advanced stages of retaining the site plan approval for the construction of approximately 150,000 square feet of modern last mile logistics space.  Overall, we expect to have projects totaling about 1.3 million square feet of projects underway in 2022. We have ample room to expand our pipeline before achieving our target of having 5% of our total assets under development. We will balance our development pipeline with our focus of driving FFO per unit growth. We continue to make significant progress on all aspects of our business.  I’ll now turn it over to Alex to talk about our operations. 
Alexander Sannikov: Thank you, Brian. Good morning, everyone. Industrial market fundamentals remain robust across all our markets driven by strong demand from both occupiers and investors. Availability rates continues to trend down in most of our markets dropping to the low 2% range across Canada, with availability in GTA and GMA just over 1%.  The outlook for rental rate growth remained robust with limited new supply coming online in the context of the ongoing pace of absorption. Since the end of Q2, we signed over 950,000 square feet of leases at an average rental spread of 23% over prior rents. On these leases, we also achieved an annual contractual rental growth of 2%.  Year-to-date, we have signed nearly 3.4 million square feet of leases across our Canadian and European portfolio at an average rental spread of over 22%. Our in-place occupancy has increased by nearly 290 basis points compared to the beginning of the year to 97.6%. Including over 140,000 of leases that haven’t signed by not commenced to-date, committed occupancy in our portfolio was 98% at Q3.  As a result of strong leasing activity, our CP NOI growth continues to accelerate and we reported a 7.5% year-over-year growth this quarter, driven by a 4.4% increase in in-place rents from strong rental uplift, as well as contractual rental growth and a 180 basis points increase in average occupancy.  We reiterate our previous forecast of mid-single-digits CP NOI growth in 2021 and will be providing our 2022 CP NOI guidance when we report our Q4 results. Rising land prices and market rents continue to drive higher asset values across our portfolio.  During the quarter, the value of our assets increased by $162 million reflecting lower capitalization rates, as well as higher market rents in Ontario and Quebec. As of September 30, 2021, our investment properties were valued at approximately $155 per square foot including the Ontario and Quebec portfolios that are being carried at $207 and $151 a foot respectively.  With assets pricing setting new records in most of our markets, we expect the asset values to continue to increase in our portfolio over time as private market transactions provide additional data points. We continue to advance our ESG framework for 2021 and are increasingly prioritizing green investments in our capital allocation decisions.  We are in advance stages of planning renewable power projects in Canada and The Netherlands in collaboration with our tenants and their respective regulatory authorities including our existing panels, we are targeting to install over 50,000 solar panels across 3.5 million square feet, which could result in over 10% over the trust portfolio being powered by the Ningbo Energy.  We have finalized the feasibility studies as well as the respective agreements for three projects, two in Alberta and one in The Netherlands totaling 60,000 square feet with a target system capacity of approximately 4 megawatts. The total investment is expected at approximately $5 million and we are targeting an unlevered IRR of 7.5% and a yield on cost of over 7%. The systems are expected to be operational in mid-2022.  Additionally, we have established a target of upgrading approximately 1 million square feet of GLA in 2021 to LED lighting. On a year-to-date basis, our lighting retrofits total over 700,000 square feet and we are on track to achieve our 2021 targets. Our initiatives has been well received and we have seen a significant enhancement in our ESG rating profile by some of the largest rating agencies.  In the latest GRESB Public Disclosure Survey conducted during the quarter, we ranked 2nd out of 10 North American industrial peers. We will provide further details on our initiatives and our approach to sustainability in our 2020 Corporate Sustainability Report expected to be released later this year.  I will now turn it over to Lenis, who will provide our financial update. 
Lenis Quan: Thank you, Alex. Our financial results for the third quarter were strong. Diluted funds from operations was $0.22 per unit for the quarter, 25% higher than the prior year comparative quarter due to higher NOI from our comparative properties, successful deployment of our balance sheet capacity towards over $2 billion of acquisitions over the past 12 months and lower borrowing costs as we executed on our European debt strategy. The pace of our capital deployment remains strong and we have closed or waived on over $2.1 billion of acquisitions thus far in 2021 and have an additional $400 million of assets that are currently in exclusive negotiations.  Our debt strategy has allowed us to transform the REIT to operate primarily with an unsecured financing model and has continued to result in a lower cost of debt. To-date in 2021, we have repaid approximately $400 million of secured mortgages at an average interest rate of 3.5%. This has lowered the proportion of secured debt to approximately 23% of total debt from 100% a year ago. Our unencumbered asset pool has increased by over $2 billion year-over-year and was $3.4 billion as at September 30, 2021, representing approximately 67% of total investment properties value. Over the past 12 months, we have raised $1.2 billion of unsecured debt at a weighted average interest rate of under 50 basis points after swapping to euros, including $800 million of unsecured debentures issued in June of this year at an average interest rate of only 35 basis points after swapping to euros. We continue to allocate substantial capital towards sustainable initiatives across our portfolio – across our existing portfolio and in our investment opportunities. Proceeds from our $400 million green bond issued earlier this year has been fully allocated or committed towards eligible investments. We intend to provide details on the use of proceeds including individual projects in our full year 2021 annual report, which will be released in February 2022.  We established an aftermarket equity program earlier in the year as an additional and cost-effective source of equity capital used to fund individual acquisitions. Since establishing the program we have raised approximately $41 million of equity at an average unit of $16.69. We also completed a $288 million equity offering in October 2021 with proceeds allocated towards funding our acquisition pipeline.  Pro forma the offering closed acquisitions and after including assets that refer for an exclusivity our leverage is expected to be in the mid-30% range and we will retain over $200 million of acquisition capacity before our leverage reaches a targeted mid to high 30% range. We expect most of the acquisitions in affirming exclusive pipeline to close towards the end of the fourth quarter 2021 and as a result, our leverage will be temporarily below our targeted range during the fourth quarter.  In addition, included in our Q3 results was approximately $1 million of lease termination fees from one of our recently acquired Dutch assets, which allowed us to take back 200,000 square feet and re-let the space with no downtime at 20% higher rental rates. As a result, we expect mid to high-single-digit FFO per unit growth for the fourth quarter and we reiterate our guidance of FFO per unit of just over 10% for the full year 2021.  Looking forward, delivering FFO per unit growth remains a key focus area for the REIT, along with growing and upgrading portfolio quality. We will provide our 2022 guidance on our year end results conference call in February 2022.  I will turn it back to Brian to wrap up. 
Brian Pauls: Thank you, Lenis. 2021 has been an incredibly exciting time for DIR and we have taken significant steps to position DIR as the premier industrial REIT in each of our operating markets.  I will now open it up for questions. 
Operator:  And our first question comes from Matt Kornack from The National Bank.
Matt Kornack : Hi guys. How is it going? A quick question on current income tax. I was trying to – obviously, you paid some with regards to the transaction. But is there an ongoing current income tax item that we should be accounting for as a result of some of your international properties? 
Lenis Quan: Hi, Matt. This is Lenis. So, yes, there were some current income taxes that are flowing through from our European operations, the $1.1 million, that’s impacting FFO. It’s a little bit higher than score, because of the lease termination fees. So I think on a runrate basis, we’d expect that to be a little bit lower going forward. 
Matt Kornack : So, around $1 million would be an okay number to run quarterly? 
Lenis Quan: 20% rent from that. 
Matt Kornack : Okay. Fair enough. And then, on G&A, as well, can you give us a sense as to what a normalized figure will be after the announced acquisitions come through? I mean, maybe just I mean, we can do the asset management side, but is there any incremental G&A associated with some of these European acquisitions related to platform value? 
Lenis Quan: I mean, yes, we’ve been growing our European platform with the expansion. But I mean, I think as a general runrate, you can probably run with the 10% of NOI. Let’s recall, all G&A included. 
Matt Kornack : Sorry, this is one more technical and then, I’ll go to a leasing one. But, on the JV accounting, the FFO contribution that you have in the quarter, it essentially should be two of the three quarters right? And if we look at that, I don’t think you reported an actual segmented income statement for the U.S. asset. Is that going to be the case going forward? Should we just kind of look at the FFO contribution and grow it accordingly? 
Lenis Quan: So, the – our investment in the U.S. fund is equity accounted. The closing was the fund was effective July 1. So the FFO contribution would have reflected the full quarter. 
Matt Kornack : Okay. 
Lenis Quan: So, assuming same properties, that would be a decent runrate for the quarter. And then, layering on any acquisitions as the fund close. 
Matt Kornack : Okay. Perfect. That’s helpful. And then, with regards to the lease maturity profile, for Q4 and also into 2022, the composition there, it looks a little bit skewed in Western Canada and then obviously Europe the figures pretty prominently in 2022. How should we think – I mean, the disclosed rent spreads in Europe I think are 7.5%, but I think I view that that market is pretty fluid and improving. So, how should we think about rent spreads on those leases in 202? 
Brian Pauls: In Europe, it is slightly harder to predict specifically, because as you know in a lot of cases in Europe tenants have renewable options that can fix rent. So, until those options burn off, we contractually cannot push rents to market. On a non-negotiated renewal when tenants exercise the option is a negotiated renewal or a new lease, then obviously we can move that to market. So, Europe will be harder to predict in that regard. But generally, on these lease expiries they’ve hold-ins or underwritten a lot of them are in omega. And those are factored into our occupancy forecast for 2022, which we overall, we don’t expect any material movements in occupancy for the year as a whole. There may be some temporary vacancy when one some of these leases renew or don’t. But overall, we expect that the occupancy will remain strong. 
Matt Kornack : Okay. And then, the last one for me, with regards to the value-add CapEx it was a bit higher this quarter, but would that also include sort of the expansions that you are doing? Or is that related to something else? 
Alexander Sannikov: Yes, it does include expansions. We are also looking at ramping up our value add program for – so - and you will see that in the fourth quarter. We have accelerated some of our routine projects for buildings that have long recess at below market rents where we probably could have managed the roof for another couple of years or replace it now and amortize it with interest. We’ve accelerated some of those projects and we think that will provide high value for the buildings in the long run and will improve sustainability. So, you will likely see some of that, as well in the fourth quarter. 
Matt Kornack : Okay. Great. Thanks for the color. 
Operator: And the next question comes from Mark Marquez  Your line is open. 
Unidentified Analyst: Hi there. Thanks. Yet another tremendous year in 2021 just from an acquisition sourcing perspective. I know it’s tough to predict, but do you think that the conditions are still there when you look at your cost to capital? When you look at where you are seeing property pricing is going? If you could potentially have similar year in 2022? 
Brian Pauls: I think, I will start, we have big plans to grow in 2022. 2021 had a few anomalies like omega that were really, really big. We can’t predict or find something like that, but we would expect to grow at a more normalized pace in 2022 relative to the size of the company we are now. So, we intend to grow in the three main geographic regions.  We are sourcing deals directly in Canada and we will likely find more opportunities there. The rent growth there continues to show really good promise. Europe, we will continue to grow in our core markets, particularly in Germany and The Netherlands and we have boots on the ground finding deals regularly there.  We’ve got a very strong pipeline and then we’ll grow into the U.S. front. So, I would expect that we would grow in all three areas. It’s hard to say whether that would likely be the extent of 2021 that would be unlikely but we do anticipate a strong growth in all three of those geographies. 
Unidentified Analyst: Okay. Great. And then, just with respect to the U.S. fund, can you remind me is the strategy now different in terms of how DIR would have acquired previously when it was aside from just the volume of transactions, but in terms of target markets would be the first part. And then, just in terms of sort of how you guys look at your unlevered returns in Canada and Europe, would the target be similar in the U.S.? 
Brian Pauls: The U.S. fund will likely target more liquid, more expensive markets and more development. The fund will be used towards – more towards total return rather than current income as we are as a REIT. So, we like the opportunity to participate in that growth without the dilution of, if we did it 100% ourselves. So, that’s part of the strategy there.  We would expect the percentage of our assets in the U.S. to grow higher than what it is today as that fund has opportunity and we have the opportunity to grow with it. So, the metrics are the same in Canada, but we would expect the U.S. fund to target more total return than the current income. We would expect our returns to be higher through our participation in the fund than if we were doing it by ourselves. 
Unidentified Analyst: Yes, I know. Fair enough. Okay. And then, a last one for me and this might be technical. But Lenis, I think you answered Matt’s question just about the FFO contribution, or I guess, lack of contribution from the sale of the 75% interest from the fund. Did that all flow through in an equity account investment? I just know some fee income there is, that administration fees fall, that’s in there. Just trying to get a sense of it, that’s part of that or how that all works? 
Lenis Quan: Yes, that’s right. So, an investor in the fund, the DIR would be eligible for a full quarter of equity income, which is reflected in the statements. The actual acquisition legally closed towards the end of July. And so, there was included in interest and other income about $1.7 million, just related to the FFO of cash flow that was generated by the properties for that one month at a 100%. 
Unidentified Analyst: So, that will be a proxy for one month FFO?
Lenis Quan: At 100%. Yes. 
Unidentified Analyst: At a 100%, okay. So, technically, then, so I don’t know, okay. I guess, I have to revisit it. But if that was a quarter of 100%, is that deducted out of FFO? 
Lenis Quan: No, they are only in FFO. That’s in FFO. And then, we – for our FFO our point focus is we picked up a $1.6 million of FFO for the U.S. fund. That’s sort of – we can also kind of do this offline and Mark give the details in our affiliation in the MD&A and that order of the U.S. fund at 25%. 
Unidentified Analyst: Okay. Now that would be, so, if we could connect offline. That would be great. And I can turn it back to higher level questions. Thank you. 
Operator:  And the next question comes from Sam Damiani from TD Securities. Your line is open. 
Sam Damiani : Thank you. Good morning. Lenis, just on the fourth quarter, with the acquisition scheduled to close, what was the plan for debt – for reducing debt to fund that for the balance of the year? 
Lenis Quan: So, we currently have sufficient liquidity to do that on balance sheet. But if markets are open and available, we could look to raise some additional debt in the markets if the opportunity is there. But we have sufficient liquidity in our balance sheet to take that. 
Sam Damiani : Yes, for sure, but I guess, if you were to do some long-term debt, how much capacity is there to do a cross-currency and ends rate swap on – with your pro forma assets at the end of the year? 
Lenis Quan: Sure. So, at the end of the third quarter, there is about 200 million euro. The capacity for whatever else we have in the pipeline that’s based out in Europe. So, by the end of the year, that number could increase to the 400 million euro spot. 
Sam Damiani : Sorry, 400 million euros or dollars?
Lenis Quan: Euro. 
Sam Damiani : Euro, so…
Lenis Quan: That’s included with the pipeline, yes, what’s left accrued. 
Sam Damiani : And based on the markets today, sub 1% is achievable. Would you say sub 0.5% is well achievable? Or how attractive is it today versus the last time you did it? 
Lenis Quan: Our interest rates in North America have increased – have not increased to the same extent than Europe. So, we are looking at somewhere between 70 to just under 100 basis points for five to sever year term. So, it really depends on the terms that we are looking at. 
Sam Damiani : Okay. Just switching over to Western Canada, the occupancy, I guess, ticked up in Q2 and then slipped back in Q3, I guess, if you comment on that and also just generally how you are looking at Western Canada if any differently today for growth? 
Alexander Sannikov: This is - Sam, it’s Alex. With respect to occupancy, as you know our Western Canadian portfolio has lots of tenants. So, the occupancy will move around in the territory as leases mature. And so that’s sort of natural for the portfolio to see a little fluctuation.  Overall, fundamentals in Western Canada have improved across meaningful markets where we are present and we certainly expect that they will continue to strengthen with rates to basically low to mid-single-digit range in all markets. We are starting to see upward pressure on rents. So the fundamentals has definitely improved and we are generally positive on the efforts. 
Sam Damiani : So, it could be an area of growth for the REIT going forward. 
Alexander Sannikov: Well, we intend to continue sort of – we have, on the prior calls, we’ve identified sort of assets and expanding portfolio as non-strategic where we have partnered with them at the right time, at the right price with improved fundamentals we expect with the - there is going to be more liquidity in the markets and we could look at recycling capital within the regions and we are looking at opportunities we haven’t seen significant opportunities on the income side.  So, start to stabilize or core front assets. We have seen significant risk-adjusted return premium, but maybe where we can in development opportunities in the last to see if the risk-adjusted returns are there. So we are evaluating what options there. 
Sam Damiani : Okay. And last one for me, before I ask, I would just say, a great quarter all around. But the last question I have is just on the markets with the market rent growing at a good clip year again this quarter and expect it to continue to do so. Are you seeing any change in the trend of tenant turnover and some tenants starting to relocate to cheaper locations?
Alexander Sannikov: No, we haven’t seen – we haven’t seen that trend. There is no space really for a lot of the occupiers to relocate. We are continuing to see these occupiers prioritize location vis-à-vis access to major transportation routes and vis-à-vis access to the labor pools over rent. So, that continues to be the priority for occupiers and it’s hard to find cheaper alternatives in locations that offer those attributes. 
Sam Damiani : Thank you. 
Brian Pauls: Yes. Maybe I think the opposite is, the tenants are hunkering down. They want higher inventories. They need more space and wanting to secure the space they have especially if this is a strategic location and want more of it. So, we are seeing probably the opposite rather than tenants fleeing, they are coming in and wanting longer terms and more security in their space. 
Sam Damiani : That’s great color. Thank you. I’ll turn it back. 
Operator:  And our next question comes from Himanshu Gupta from Scotiabank. Your line is open. 
Himanshu Gupta : Thank you and good morning. So, just to follow-up on Sam’s last question, I think  much place to go right now and then, looking at the leasing activities have been escalating i.e. in the range of 3.5% in GTA. So, are you seeing any pushback in that regard in terms of tenants pushing back on logistics? 
Alexander Sannikov: Hi, Himanshu. It’s Alex. We are obviously – it is obviously an education process with the tenants when it comes to renewal and some tenants come to the negotiation table more educated on the markets unless and all of them once they do their home work as it was what’s available in the market and what the environment is like relatively specific get over that total sticker shock. So it’s definitely a conversation. But so far we have not lost any tenants over price. 
Himanshu Gupta : Okay. And most of the reason choosing value, let’s say this year or so far, is the annual escalator getting in that range like 3% plus range or is it’s still a GTA plus something? 
Alexander Sannikov: So, in Canada, we are doing good rent escalators. We are – our average for the GTA has been in the 3.5% to 4.5% on the more recent leases. We have been doing around 2.5% to 3.5% in the GMA, around 3% to 3.5% in markets like Cambridge and Kitchener. Western Canada is at 1% to 2% and Europe is CPI although we are starting to see some contractual rent bumps as well. 
Himanshu Gupta : Okay. And so, Europe is mostly CPI, but is the market rent in your core European markets are they increasing a bit higher than CPIs in Germany and The Netherlands?
Alexander Sannikov: They are on average. We are seeing certain markets in Germany increase by 20% year-over-year. Some markets in The Netherlands are growing. So, it is definitely outpacing CPI so far. 
Himanshu Gupta : Okay. And then, the strategy in Europe, how are the cap rates can be in your core markets in Europe? I mean, obviously, in North America we are seeing stable effect in compression, but any costs in European markets in the context of lower than growth compared to North America?
Alexander Sannikov: We have seen cap rate compression in Europe and I think what’s important for Europe is, we are still looking at very reasonable capital values and slightly capital compression compared to some of our North American markets.  And given the historic rental growth has been lagging in North America, we expect that the growth going forward, there is potential for rental rates growth going forward is significant and that could lead to more of cap rate compression and expansion of capital values. 
Himanshu Gupta : Okay. That’s fair enough. And maybe the last question, I mean, switching gears to development program. So, any update on the Las Vegas developments and then given the UN JV now, is it fair to say that most of the future developments will be in Canada and Europe and not much in the U.S.? 
Alexander Sannikov: So, our development program is, as Brian touched on, we are pursuing development in all of the markets we are in. In the U.S., we will be participating in many developments – the fund intends to grow its development program significantly. Our Canadian pipeline is very robust with significant pipeline extension, redevelopment and Greenfield projects in GTA and GMA.  In Europe, we have one project underway. We talked about approximately 1 million square feet of density that we’ve acquired with Omega. So we are working on activating that and we are also working on a couple of intensification and redevelopment projects.  In The Netherlands, those are in earlier stages. So we haven’t include them yet in our MD&A disclosure, but as they advance, we will be providing more detailed color. So there has been so much in the pipeline. 
Brian Pauls: Yes, Himanshu, I would add to that, that our pipeline, yes, we are adding density in a lot of properties across the regions as Alex mentioned with the Greenfield development and then we are also looking at a little bit further out development of land that may take two years to three years to bring into production.  But what we want to have is a steady pipeline of development opportunities to add to our assets. I think we mentioned this good long-term target would be 5% of our balance sheet in development. We are not there yet. So, we continue to look for opportunities in this area. 
Himanshu Gupta : Awesome. Thank you guys. I’ll turn it back. 
Operator: And we have no further questions. I will turn the call back over to Brian for final remarks. 
Brian Pauls: Thank you very much for your time today. We look forward to speaking again soon and in the mean time, stay healthy and stay safe. Take care. 
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating. You may now disconnect.